Jared Mattingley: Thank you, Ross. Thank you for joining us. With me today are Todd Schneider, President and Chief Executive Officer; and Mike Hansen, Executive Vice President and Chief Financial Officer. We'll discuss our fiscal '25 first quarter results. After our commentary, we will open the call to questions from analysts. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the Securities and Exchange Commission. I will now turn the call over to Todd.
Todd Schneider: Thank you, Jared. We are pleased with our start to fiscal year 2025. Our first quarter results reflect the strength and breadth of Cintas’s value proposition for businesses of all types and stellar execution by our employee partners. First quarter total revenue grew 6.8% to $2.5 billion, an all-time high for revenue in a quarter. First quarter revenue growth was negatively impacted by one last workday in the first quarter of fiscal 2025, compared to the first quarter of fiscal 2024. On a same-day work basis, first quarter revenue growth was 8.4%. The organic growth rate, which adjust for the impacts of acquisitions, foreign currency exchange rate fluctuations, and the fact that there was one less workday in the quarter was 8.0%. Each of Cintas’s business divisions contributed to our success in the quarter. As Mike will detail, our rental division was right where we like them to be, and our first aid and safety and fire protection businesses each generated double-digit year-over-year growth, demonstrating the complementary nature of our platform and our long runway for future growth. The value of the products and services Cintas delivers continues to resonate with customers of all sizes and across industries. We remain focused on the tremendous opportunity we have to serve 16 million businesses across North America. In the first quarter, we continue to experience strong demand for our services not only from existing customers, but across our new business pipeline. Businesses across our four focused verticals of healthcare, hospitality, education, and state and local government continue to perform well. Our top line results flow through to our bottom line. Gross margin for the first quarter increased 9.7% over the prior year to a record 50.1%. Operating income of 22.4% as a percent of revenue was also an all-time record, an increase of 12.1% over the prior year. Diluted EPS, which reflects the recent 4-for-1 stock split, grew a robust 18.3% to $1.10. Our earnings growth continues to reflect our relentless focus on operational excellence in every aspect of our business, including strategic sourcing, the supply chain initiatives that drive down our material cost, route and energy optimization with SmartTruck, and leveraging our SAP system to maximize the efficiency of our facilities. Cash flow was very strong in the first quarter with free cash flow increasing 62.4% over the prior year. Our cash generation enabled us to deploy capital across each of our capital allocation priorities. We continue to focus our strategic investments in our customers and our employee partners. This strategy is reflected in our capital allocation priorities that continue to position us to deliver long-term value for our shareholders. In the first quarter, we continued to invest in our businesses through capital expenditure of $92.9 million and made acquisitions in each of our three route-based segments. Our technology investments are a significant area of re-investment. We are making great strides to implement better technology driven solutions to standardize our processes across our operations. These investments have enabled us to provide more flexibility to our customers, including increased garment sharing and achieving more nimble and efficient product sourcing. Coupled with our ongoing partnerships with Verizon, Google, and SAP, we're able to make our employee partners jobs easier and get the right products to our customers faster. We are seeing these efforts continue to improve customer experience and possibly impact our margin profile. In addition to making the investments in our business to fuel future growth, returning capital to Cintas shareholders through our dividend and share repurchase remains a key priority. Cintas increases quarterly dividend by 15.6% per share, which resulted in an aggregate quarterly cash dividend payment of $157.9 million on September 3. This marked the 41st consecutive year that we increased our dividend, meaning we have maintained this practice every year since going public. We also purchased $473.6 million worth of common stock during the quarter. Before turning the call over to Mike to provide details of our first quarter results, I'll provide our updated financial expectations for fiscal year, which reflect the momentum we carried through the first quarter and the exceptional dedication of our employee partners in helping our customers meet image, safety, cleanliness, and compliance needs. We are increasing our financial guidance range for fiscal 2025. We are raising our annual revenue expectations from a range of $10.16 billion to $10.31 billion to a range of $10.22 billion to $10.32 billion, a total growth rate of 6.5% to 7.5%. We expect our organic growth rate to be in the range of 7.0% to 8.1%. We are also raising our annual diluted EPS expectations from a range of $4.06 to $4.19 to a range of $4.17 to $4.25, a growth rate of 10.0% to 12.1%. The future of Cintas remains bright, and I look forward to the year ahead. With that, I'll turn the call over to Mike to discuss the details of our first quarter results.
Mike Hansen: Thanks, Todd, and good morning. Our fiscal 2025 first quarter revenue was $2.5 billion, compared to $2.34 billion last year. The organic revenue growth rate adjusted for acquisitions, foreign currency exchange rate fluctuations, and a difference in the number of workdays was 8%. Total growth was negatively impacted by 160 basis points due to one fewer workday in the first quarter, compared to the prior year period. As a reminder, we have two fewer workdays in fiscal 2025, compared to fiscal 2024. One impacted our first quarter and the second will impact our fourth quarter. Each of our fiscal 2025 quarters has 65-days. Organic growth by business was 7% for uniform rental and facility services, 14% for first aid and safety services, 13.8% for fire protection services, and uniform direct sale was down 1.8%. Gross margin for the first quarter of fiscal ‘25 was $1.25 billion, compared to $1.14 billion last year, an increase of 9.7%. As Todd mentioned, gross margin as a percent of revenue reached a milestone 50.1% for the first quarter of fiscal ’25, compared to 48.7% last year, an increase of 140 basis points. Robust volume growth continues to generate strong operating leverage. Our gross margins also increased as a result of our world-class supply chain, investments we have made in technology, and continued operational efficiencies. Gross margin percentage by business was 49.3% for uniform rental and facility services, 57.7% for first aid and safety services, 50.2% for fire protection services, and 40.6% for uniform direct sale. Gross margin for the uniform rental and facility services segment increased 120 basis points from last year. We continue to generate leverage as a result of our strong revenue growth. Great performance from our supply chain is lowering our product costs. We continue to realize benefits from our technology investments and we are extracting inefficiencies from the business through our Six Sigma and engineering teams. Gross margin for the first aid and safety services segment increased 180 basis points from last year. As with our rental business, strong revenue growth continues to create leverage. Our sales mix continues to be favorable with more profitable first aid products and increases in our recurring revenue products like AEDs, eyewash stations, and water brick. Our technology investment in SmartTruck continues to provide route optimization and improved efficiencies, and we continue to see sourcing benefits from our first aid dedicated distribution center that we opened several years ago that has allowed us to lower product costs. All of these contribute to improved margins. Selling administrative expenses as a percentage of revenue was 27.6%, which was a 20 basis point increase from last year. We continue to make strategic investments in technology and in our partners. First quarter operating income was $561 million, compared to $500.6 million last year. Operating income as a percentage of revenue was 22.4% in the first quarter of fiscal ’25, compared to 21.4% in last year's first quarter, an increase of 100 basis points. Our effective tax rate for the first quarter was 15.8%, compared to 19.2% last year. The tax rate in both quarters were impacted by certain discrete items, primarily the tax accounting impact for stock-based compensation. Net income for the first quarter was $452 million, compared to $385.1 million last year. This year's first quarter diluted EPS of $1.10, compared to $0.93 last year, an increase of 18.3%. As Todd mentioned earlier, we generated strong cash flow. Our first quarter free cash flow increased 62.4%, this has allowed us to invest back in the business, which has resulted in first quarter capital expenditures of $92.9 million. Our investments include technology to grow the top line and expand margins, automation to improve efficiencies in our plants, and additional processing capacity where needed. We expect capital expenditures to finish between 3.5% and 4% of revenue for the year. Todd provided our annual financial guidance. Related to the guidance, please note the following: fiscal ‘25 net interest expense is expected to be approximately $101 million, compared to $95 million in fiscal ‘24, predominantly as a result of higher variable rate debt used to complete a portion of the previously mentioned share buybacks. Our fiscal ‘25 effective tax rate is expected to be 20.4%, the same compared to our fiscal ‘24. And guidance does not include any future share buybacks or significant economic disruptions or downturns. With that, I'll turn it back to Todd for some closing remarks.
Todd Schneider: Thank you, Mike. Before we conclude, I'd like to take a moment to thank our employee partners for their continued efforts on behalf of Cintas and our customers in the first quarter. As I've said before, our culture is our greatest competitive advantage. Our partners fuel our success, and we believe deeply in the importance of each employee partner having ownership in the company to share collectively in that success. As Cintas shares reach record highs in the spring, our board of directors approved a 4-for-1 split of our common stock, which went into effect before the market opened on September 12. We're proud to enhance the accessibility of Cintas’s shares for all of our investors especially for our employee partners, so they can continue to share in the future growth of Cintas. As we look ahead to the rest of fiscal ‘25, our outlook reflects our continued confidence in our strategy and value proposition of helping our customers achieve their image, safety, cleanliness, and compliance needs. We remain focused on delivering outstanding customer experiences and making the necessary investments in the business to sustain our growth for the remainder of fiscal ‘25 and beyond. I'll now turn the call back over to Jared.
Jared Mattingley: That concludes our prepared remarks. We are now happy to answer questions from the analysts. Please ask just one question and a single follow-up if needed. Thank you.
Operator: [Operator Instructions] And our first question comes from George Tong from Goldman Sachs. Please go ahead, George.
George Tong: Hi, thanks. Good morning. Can you talk a little bit about the overall selling environment and whether you're seeing any changes in customer purchasing behaviors in response to the overall macro environment and evolving macro uncertainty?
Todd Schneider: Good morning, George. Thanks for the question. We have not seen much change in the customer behavior. It's just 60-days ago that we reported our full fiscal year ‘24 earnings. But we haven't seen much change. We still see nice demand from our customers. We're helping them with their image, their safety, their cleanliness, and their compliance needs. And that frees them up to focus on what's most important for them, taking care of their guests, their people, their patients, whatever their constituents are. So not much change, I would say, in the sales cycle or in the demand of the customer.
George Tong: Got it. That's helpful. And you continue to highlight healthcare, hospitality, education, and government as key focus verticals for the company. Can you talk a little bit more about traction you're seeing in those verticals and how growth and performance there compare versus the broader company?
Todd Schneider: Yes, certainly. So those, we believe we've chosen those verticals very well. We've invested in them. We run them not like just a sales vertical, but we look at them as how do we take care of those customers holistically. And I thought I would just give an example of that, but all this starts with our culture. We have a spirit of positive discontent is what we call it at Cintas, which is meaning, we're constantly focused on improving and innovating. And we also believe that the answers are not at our desk, meaning we believe the answer is out with our customers and our employee partners. So we travel and we get out and we talk to our customers about where we can help them. And I have two examples where we're helping customers in the healthcare area that came exactly from those conversations. The first was, and we've spoken a little bit about this with garment dispensing. We're continuing to have a very good success with this technology. And our healthcare customers, what they told us was they had a problem managing their inventory, in this case of scrubs, as they didn't have accountability with the scrubs. So when you don't have accountability, there's hoarding of garments that occurs, which leads to a lack of availability, meaning the first person who gets there takes garments and then those who show up later don't get the garments. And as a result, our -- the healthcare customers, for the most part, invested in what I'll call substandard product, because they wanted, well, when they didn't have control over the inventory, they went as cheap as possible. So, and this technology addresses those issues. And today, it's being used in many clinical areas, you know, labor and delivery, emergency room, operating rooms, radiology, cath labs, ICU are some examples of where we're doing that. We found the exact same opportunity, meaning when we spoke to our customers, we asked them, what else can we help you with? And they said, we are having a heck of a problem with privacy curtains. And what they told us is it was one of their top compliance issues. And those privacy curtains, when you think about those, they're in patient rooms, recovery areas, emergency rooms, and acute care, but they're also in non-acute throughout in surgery centers and medical centers. And they have to be cleaned. They have to be cleaned on a frequent basis. And so it's a real compliance challenge for our customers. So we listened to them and we didn't just take over the problem, we studied it and came up with some great products and technology. Those products have some patents on them as well and the technology allows us to track compliance. So it makes for, in total, it makes for a safer environment, a more compliant environment, and it frees up the environmental services at those organizations, who are cleaning patient rooms and other areas where clinicians provide care. So a safer, cleaner, more compliant, and more efficient environment. So I thought that might help just to give a little bit of color around what we're doing in that particular vertical, but it really starts with our culture and we listen to our customers, where can we help, and then we dive in and we provide those solutions.
George Tong: Very helpful, thank you.
Todd Schneider: Thank you.
Operator: And our next question comes from Tim Mulrooney from William Blair. Please go ahead, Tim.
Luke McFadden: Hi, this is Luke McFadden on for Tim Mulrooney. Thanks for taking our questions today. I might have missed it in your prepared remarks, but could you provide the breakdown in new sales between market share wins and conversion of no programmers for the quarter?
Todd Schneider: Yes, good morning. We did not cite it specifically, but no change to that trend. On average, we're historically about two out of three of our new customers come from what we call the no program market. The no program market would meaning that they're not with a traditional competitor. Now that doesn't mean that they're not using products and services, meaning we might go in and they need help with, they might own a mat, they might have soaps, they might buy uniforms, but they're not with a traditional competitor. So they may be spending money on these products, but we redirect them to ourselves to help them do it better, faster, smarter, cheaper in many cases.
Luke McFadden: Understood, really helpful. And then kind of just sticking on that topic with my follow-up, it sounds like that no programmer penetration continues to be an area of strength in the business. I was hoping you could offer maybe some insights into the typical profile of these recent no programmer conversions? Are the majority of these recent wins of a particular business size or concentrated in any specific in market? Or is it relatively broad-based?
Todd Schneider: Well that's the beauty of our business. We service a little over a 1 million customers and there's 16 million businesses in North America, U.S. and Canada. And so the wins come from all industries, all shape sizes of businesses. And that's why we're so bullish on the future, because we see that opportunity, that white space out there, as a significant opportunity to help customers, and we're still in, obviously, the very much early innings there.
Luke McFadden: Understood. Thanks so much.
Todd Schneider: Thank you.
Operator: And our next question comes from Andrew Steinerman from JPMorgan. Please go ahead, Andrew.
Andrew Steinerman: Hi, this is Andrew. Could you talk about merchandise amortization in the quarter? Year-over-year, how much is merchandise amortization a headwind or tailwind? And what have you assumed for the fiscal year in terms of trends in merchandise amortization?
Mike Hansen: Good morning Andrew. The material cost has been an area of strength for us in and I'll say the rental business, but also the others, but I'll stick to the rental business for a second. Material cost has been trending nicely and, you know, we work hard at that material cost. So within there, you can think about our global supply chain and finding better ways to source better cost of product. And so they've done a really great job there, despite the really good business volume growth that we've had. And the other thing that we really worked hard at, as you know, Andrew, is in our stock rooms and the sharing of garments. And so we -- the more we share in terms of our garments, the more pull percentage we get out of the stock rooms. And that means we are injecting fewer garments into service. And so the combination of those things have created some nice tailwind and you see that showing up in our gross margin. We would expect that will continue through the fiscal year.
Andrew Steinerman: Thanks, Mike.
Operator: And our next question comes from Jasper Bibb, Truist Securities. Please go ahead, Jasper.
Jasper Bibb: Hey, good morning guys. I wanted to ask about SmartTruck and the Google partnership. I think you announced that a little over a year ago now. There's a cloud migration a few quarters ago. I'm just kind of hoping you can update us on how that's progressed and where you might be seeing some associated margin or efficiency benefits at this stage?
Todd Schneider: Yes, Jasper, thank you for the question. SmartTruck is -- as a reminder, is proprietary technology that we work to develop. It's been very helpful for our business, but more specifically, it's helpful for our customers, because we're able to, instead of spending time driving, we're able to spend more time with our customers. So, and when we're there with our customers, it gives us the opportunity with eyes and ears and minds in those business to solve problems for them. Whether it's something else in their business like I mentioned with -- in healthcare with garment dispensing and scrubs and privacy curtains. So more time with the customer is really valuable for us. Separate from the fact that we like to say around here, we don't make any money when the wheels are moving. We only make money, I mean, generate revenue when the wheels stop on our trucks. So that's been valuable. Our relationship with Google has been very advantageous. And as important as our relationship with Google is Google's relationship with SAP. So having that all combined gives us insight into our business, helps us to leverage our infrastructure and leverage our employee partners to put them in the right spot, the right place, the right time. So we believe that, that is going to be beneficial into the future and we really value those relationships.
Jasper Bibb: Thanks, and then maybe following up on that last point, sounds like pretty good growth in fire in the quarter. Any color on or underlying operating margin for that business was in the first quarter? And it would also be great to hear how some of the initiatives you're doing there like the SAP implementation and some of the G&A investments you've called out in the past are where those stands today?
Todd Schneider: Yes, good question. So we love the fire business. It is growing really nicely. The organic opportunity is amazing. The M&A opportunity is really attractive for us. And yes we're investing in that business, we’re investing in our SAP system, and we're excited about that. Excited about having all of our route-based systems on one system. We think that'll really give us some insights into our customers that we don't have today. But the opportunity out there for fire is incredible just, because it's every business, the only business we're in, that every business legally has to have it, the services around it, whether it's sprinklers, alarms, in certain cases fire extinguishers, emergency lights. So we think the runway is really attractive in that business. We like the margin profile, we know how to run the business, we know the mix of business that's attractive. And as a result, not every M&A opportunity that comes down the pike is really attractive for us, but we know how to do it, and we will be aggressive as appropriate.
Mike Hansen: Maybe I'll offer two things with that as well. You heard me say in the prepared remarks, this was the second quarter in a row that gross margin in the fire business was 50%. And so that is a reflection of a lot of the things that Todd talked about in terms of really going well and running the business well. We are in the midst of that SAP implementation that we've talked about and I think back in July I mentioned that there would be a little bit of pressure on fire margins in fiscal ’25, because of that implementation. And so you see a little bit of that coming through fire SG&A and if you look at the all other operating margin, we're down a bit from Q4 to Q1 and it's a bit of that reflection of the SAP implementation. As you've seen in our first aid and safety and rental businesses, that SAP implementation, it certainly takes some time, but there are some really nice benefits subsequent to getting that system in and running it and learning how to run it. But as we talked about, fiscal ‘25 may show a little bit of pressure in SG&A and the fire business. Certainly that is all incorporated into the guide, the overall guide that we've given.
Jasper Bibb: Great. Thanks for the detail there.
Operator: And our next question comes from Manav Patnaik from Barclays. Please go ahead, Manav.
Ronan Kennedy: Hi, good morning. This is Ronan Kennedy on for Manav. Thank you for taking my question. The strong growth in [Technical Difficulty] margin expansion, you said it was sourcing, supply chain, tech, operating efficiencies, an element of favorable mix, I think 20 bps from energy. Can I please confirm whether there's any one-time factors in there or is it the more sustainable drivers? And do you see upside to the margin expansion opportunities?
Todd Schneider: Ronan, thanks for the question. No one-timers to call out. As far as where we can go with this, you know, we're focused on extracting out inefficiencies in our business and there's more to come. So we don't like to put a ceiling on our aspirations there, but, you know, we see opportunity in our business to extract that in efficiencies and so we will continue to do that. I think from an operating margin standpoint we've talked about 25% to 35% incrementals and I think our guide reflects in that range.
Ronan Kennedy: Got it, thank you. And then may I please, could I ask for your current competitive dynamics within the industry and whether recent activity within the industry changes the way we think about capital allocation?
Todd Schneider: Ronan, you're speaking of M&A, is that correct? Or if you'd like to clarify.
Ronan Kennedy: Yes, please. And broader [Technical Difficulty] dynamic and potential implications of potential M&A and your thought process for the allocation.
Todd Schneider: Great. Great. Well, M&A is an important component of our business, has been and will be. We are -- it's worked very well for our business, for our customers, our shareholders throughout. And we certainly stay aware of what's going on in the marketplace. And we like our competitive position. We think we're in a good spot. We will continue to invest to make sure that we're appropriately positioned to compete in the marketplace moving forward. So that's where our focus is, and that's what we'll continue to do.
Ronan Kennedy: Thank you, appreciate it.
Operator: And our next question comes from Josh Chan from UBS. Please go ahead, Josh.
Josh Chan: Hi, good morning, Todd, Mike and Jared. Thanks for taking my questions. On the rental business, could you confirm that you haven't seen much change in wearer levels? And kind of relatedly, if you were to see wearer levels start to moderate the economy. Could you talk about the Cintas playbook and that scenario and what you can do to sustain the attractive growth that you're used to seeing? Thank you.
Todd Schneider: Josh, thanks for the question. I'll start, Mike, feel free to chime in. You know, we certainly love when jobs are being added. We haven't seen real change in our wearer levels. But that being said, you know, our business, we've demonstrated that we can grow our business in multiples of GDP and multiples of employment growth. So we are certainly not reliant on that. That being said, I love when jobs are being added. I think it's good for our economy, and it's good for our customers, and it's good for our business. So -- but we're not reliant on that. We've also demonstrated that we can grow our business in virtually every type of economic cycle that we've seen. So we're focused on doing just exactly that, investing for the future to position our employee partners to take incredibly good care of our customers. And we'll continue to invest in that, so that we can be positioned to be really successful for the future.
Josh Chan: Great, thank you for that color. And on your guidance, was the growth in Q1 better than your internal expectation? I guess I'm asking in the context of you raising the full-year guidance expectancy at the low end. I just wanted the color on your thoughts around that? Thanks so much for your time.
Mike Hansen: Sure. Well, I'll say this. The growth, we saw some nice growth in the first quarter. And generally, it lines up with where we like to be. It was at the high-end of our guide, but as we now have a quarter in the books, it’s a little -- we can feel a little bit more confident to bring up the low-end of the guide. If you think about that guide range, it's a same-workday growth range of 7.3% to 8.4% for the year. And when you think about the implied guide range for the rest of the year, Q2 through Q4, we're not too far different from that. 6.9% to 8.3% on a same-workday basis. So look, this 8% growth that we saw in the first quarter, organic growth is right where we want to be and the guide I think for the rest of the year is a reflection that look we have some confidence in the way we're operating we haven't seen a lot of change in the operating environment and the growth still looks good.
Josh Chan: Great, and I congratulate you on that strong quarter.
Todd Schneider: Thank you.
Operator: And our next question comes from Andy Wittmann from R.W. Baird. Please go ahead, Andy.
Andy Wittmann: Yes, great, thanks, And good morning. Thank you for taking my questions. You guys in the script, you talked about Six Sigma. You talked about your engineering teams, degree of automation. So I was just wondering if you could talk about the rollout of things like RFID inside your plants. I know that you've been kind of testing this for a while. And I think maybe that you're ramping this a little bit more. I thought maybe Todd, you could comment on that specifically, and kind of where you are? And if this is the direction we're heading? And how long does it take you to get to that promised land where this is the way that your business runs on a day-to-day basis? I guess maybe there would be a similar question related to the auto-sortation. I think in the past you guys have talked that you like auto sort of like half of your business roughly. I was just wondering if there's any new developments on that like cheaper technologies that make it so that you can deploy it more widely or I know that sometimes like space considerations in your plant have been a limiting factor. Any technologies that have been developed that allow you to broaden the rollout of your auto-sortation. So, just hoping you could talk about those two things in particular?
Todd Schneider: Certainly. Thank you, Andy. I think, let's go back to our culture. We have this, we call it a spirit of positive discontent. So, and part of that is we are constantly innovating. It's just -- it's in our DNA. It always has been since I've joined the company, and I'm sure it always will be. So we're always trying to find ways to make it easier for our partners to, our employee partners to provide services, products and services to our customers and easier for our customers to do business with us. So RFID, you mentioned, we've been using RFID for many years in our business in certain areas of that. And we're continuing to test and innovate. And hopefully there's a future where we can have that more broadly in our business. Whether it's controlling inventory is important to us, important to our customers, so we're always innovating in that area and that will continue. Similar with auto-sortation in our facilities, in our rental facilities. So we're innovating and we see opportunities there. We have invested in some proprietary technology there that allows us to more broadly leverage that -- those technologies to extract out inefficiencies in our business. So you're right, footprint can be an issue with certain technologies with auto-sortation. And we look at that and say, well, there's got to be a better way. And we've invested and we're bullish on that moving forward. Those things all take time. We're constantly tweaking to make sure we nail it. But we'll continue in that path.
Andy Wittmann: Appreciate those perspectives. I thought maybe I'd ask you about some innovation maybe that's relevant to the top-line financials of your business. You've talked so much about healthcare government education. It's been a well-trodden thing for a while now. But I know you guys are always trying to open up new end markets. And I thought maybe you could talk about some of the developing end markets that maybe you're getting more excited about. Things around residential home services, is that an opportunity for you and can you just talk about if you can play there and the size of that market in comparison to some of these other growth markets that you've talked about in the past?
Todd Schneider: Thanks for the question, Andy. So that's the spirit of positive discontent flows through every area of our business and we're always looking for the next best vertical. Not prepared to speak about anything where we see an investment in a particular vertical. Home residential services is not high on our list. It's not been an area of focus. It's a very different business. Certainly, they have needs for our products and services, but that has not been an area of significant investment for us.
Andy Wittmann: Thank you.
Todd Schneider: Thank you.
Operator: And our next question comes from Shlomo Rosenbaum from Stifel Nicolaus. Please go ahead, Shlomo.
Shlomo Rosenbaum: Hi, thank you. I want to get back to a question I think that George was touching on. I know there's broad-based growth, but were there particular types of clients or verticals that you might want to call out over here in terms of, you know, really standout growth during the quarter?
Todd Schneider: Shlomo, I would say that, you know, our business in totality is functioning at a very good level. So no particular vertical to call out besides, you know, the investments we've made in healthcare hospitality, education, and state and local governments. We've been investing there and will continue to. You know, if you look at how, you know, particularly the jobs reports there, they've been good in those areas. Not shocking that healthcare with the demographics of North America that there's continued investment there. But we still see really good runway in all those businesses and we expect them to grow better than we do on average. If they weren't then why would we have a focused vertical? So yes, so nothing specific to call out besides that what I just mentioned there.
Shlomo Rosenbaum: Okay thanks. And this is just a housekeeping item for Mike. Just the press release says you repurchased about 474 million in stock and I go to the cash flow statement, it looks like 615 million. Can you just talk about what the differences between what's on the cash flow statement and what's in the commentary?
Mike Hansen: Yes, the commentary reflects the board approved buyback authorization. The cash flow reflects that plus the impact of stock option exercises and restricted shares. So in other words, when we have employee partners that exercise a stock option. There are some shares that are effectively withheld or purchased for taxes for the exercise, the netting of shares, et cetera. For restricted shares that vest, same thing, we are withholding shares for taxes. That's the difference.
Shlomo Rosenbaum: Got it, thank you.
Operator: And our next question comes from Ashish Sabadra from RBC. Please go ahead Ashish.
Ashish Sabadra: Thanks for digging my question. I just wanted to follow-up on the margin front, really solid margin expansion in the quarter. The 38% incremental margins were above your, like, a midterm guidance of 25% to 35%, and that's despite one fewer working day headwind. So as we go through the year, obviously you've made out multiple different margin expansion drivers, but how should we think about the incremental margins for the rest of the year? Thanks.
Mike Hansen: Hi, Ashish. You know, we gave the 25% to 35% range, and that's where our target is. You know, the business isn't wholly linear, and so there are some periods where we invest a little bit more there are so we'll be a little bit lower in that range and there are some quarters where we'll be higher in the range. Generally speaking as we think about this year though we've got 65 work days in each of our quarters remaining and so there's a little bit of the variability, because of workdays that's not going to be there. But I expect that we'll run within that range, some quarters at the higher end, some at the lower end. That's the way we'll go through the -- as we move into the future. Todd talked about so many initiatives and Six Sigma projects and investments and these just sort of can move us through that range, sometimes even in and out of that range. Generally speaking though, our expectation is we will be in that range and that will be the really good news is that means margin improvement for the year.
Ashish Sabadra: That's great color. And maybe just a quick follow-up on M&A. Just wanted to follow-up on our earlier question on M&A. If you can talk about your M&A pipeline, and appetite for potentially a large M&A deal as well? Thanks.
Todd Schneider: Well, Ashish, thanks for the question. First off, again, M&A has been an important part of our strategy. And we've shown it can work really well for our business, for our customers, shareholders, all involved. And we're open to deals of various shapes and sizes across the entire platform. If you're speaking of what has been public with Vestas being courted by an international company, that acquisition in particular would pose particular challenges, because it's been historically under-invested asset. So it would make it hard for us to generate the level of value we expect from M&A in that particular one. In M&A in general, it's again, it's important to us and we think it's really attractive. It's hard to predict when sellers are ready to transact. And it takes two to dance in those categories. So -- but we're very much in that area of the business. We're very interested in M&A on a more general basis.
Ashish Sabadra: That's very helpful, color, and solid result. Thanks.
Operator: And our next question comes from Faiza Alwy from Deutsche Bank. Please go ahead, Faiza.
Faiza Alwy: Yes, hi. Good morning, I wanted to talk about this first aid business, because we're seeing organic revenue growth acceleration in that business? And I'm curious if you can talk about your drivers there? And really what your expectation is for the long-term opportunity here? I don't know if you can talk about a potential scam or how we should think about the sustainability of, you know, teams type of [Technical Difficulty] business?
Todd Schneider: Faiza, thank you for your question. The first aid and safety business has been great. The buying motives resonate with our customer base. There's 16 million businesses in North America. Maybe not every single one of them is a great candidate, but a large portion are great candidates for our products and services that we provide. So, you know, to a certain degree the pandemic changed some things with regards to that business, meaning people, how they look at their health and wellness of their people and of their facilities. And we think that's been positive for our business. So providing, whether it's a first aid cabinet, AEDs for in the case of sudden cardiac arrest, our eyewash stations that are for health and wellness, and certainly our water break where it provides potable water for people that in various dimensions, that makes it accessible for them. So all those have been really attractive. So the mix of business is really good, but meaning back during the pandemic it was more probably PPE focused. So that mix of that business has changed, but the demand has been very attractive. So we've invested there, we've invested in technology, we've invested in salespeople, service partners to take great care of our customers. And I neglected to mention we have a really nice training in compliance business, which helps our customers stay in compliance with the various needs they have, whether it's forklift training, first aid, general first aid training, certainly CPR training, are all things that we think we can invest in more significantly and provide more value to the customers.
Faiza Alwy: And are you finding that there's revenue synergies with the uniform business? I know that you're running the businesses separately in terms of, you know, certainly there's different trucks and things like that? But I'm curious, like, what percentage of sort of new customers that you have in this first safety business or existing, you know, uniform customers? Or is it a whole new type of customer that you're attracting?
Todd Schneider: Faiza, a good question. I don't have that number specific for you, but I'll say this. We do run separate trucks to those customers. And we found that having that focus organized around that business specific has been really beneficial for us. But we share data. We share data within our customers and opportunities. And as I mentioned, we have this infrastructure of employee partners that are in those customers. And when they're visiting with those customers, they have eyes, they have ears, they have minds, and they can help provide solutions to those customers. So it's easy enough to say, hey, I noticed you might have a need for this, or they may ask us. So there's a mix. Some of it were -- the very first time we do business with a customer is through first aid. Sometimes it's through fire, sometimes it's through rental. Just the sheer scale of rental certainly makes it for a nice cross-selling opportunity, because, well we've been in that business the longest. It's our heritage business and it's our largest business. But so we really don't care where we get started with the customer, we just want to do business with them, and then we'll leverage that infrastructure, that data, to try to cross-sell as best as possible to provide additional solutions for those customers.
Faiza Alwy: Great, thank you so much.
Todd Schneider: Thank you.
Operator: And our next question comes from Stephanie Moore from Jefferies. Please go ahead, Stephanie.
Stephanie Moore: Hi, good morning, Thank you. I wanted to touch on maybe the competitive environment within your vendor market. If you're seeing anything in terms of stepped up competitive activity in the form of maybe aggressively going after existing customers, maybe a little bit challenging from a pricing standpoint? Any color there on the competitive activity would be great. Thanks.
Todd Schneider: Good morning, Stephanie. We operate in a really competitive environment, and it's been competitive since I started with a company in 1989. And I'm sure it will be competitive for the future. So one of the differences that is how we approach the business. We look at the no program market as an incredible opportunity. We service a little over 1 million customers or 16 million businesses. The white space out there is amazing. And we see that opportunity where they can buy today and we can help them today. So growing that pie is significant. That being said, yes, it's really competitive, always has been. I wouldn't say there's a real change in competitive behavior. We're focused on trying to invest in our business to make sure we provide the best solutions for our customers and position our people best to compete in the marketplace. And it's certainly very important to us.
Stephanie Moore: Great. And then just as a follow-up, you touched on this actually a couple questions ago, but clearly there's some kind of potential industry consolidation activity going on. You know, as you think about that, if you were to see your industry continue to consolidate, how do you think that would impact you? Thoughts on competitive activity in a more consolidated environment and the likes of that? Thanks.
Todd Schneider: Yes, good question. So we certainly pay attention to that. We never underestimate our competition, and we deal with competitors that are very good at what they do. So industry consolidation, would that have a dynamic impact? We don't think so. But we always have our head on a swivel and we're making sure that we are focused on investing in our business to best position our people to take care of our customers and to provide the best solutions for our customers. So that's where we're spending our time investing and focusing, but we pay very close attention to the competitive landscape.
Mike Hansen: Keeping in mind that we compete every day against what we might call non-traditional competitors. So those who are providing direct sale uniforms, Amazon, Walmart, we're competing against all different kinds of competition. So industry consolidation is not necessarily a bad thing for us. It will continue to be competitive.
Todd Schneider: Yes, I completely agree, Mike. As I mentioned, we walk into a business. They may not be with a competitor, but in many cases, they've got the products and services or something very similar as what we can provide. They're getting it from those non-traditional sources. We think we can do it better, faster, smarter, cheaper in many cases for the prospect or the customer. And that's where we've been successful in growing our business.
Stephanie Moore: And I guess just to take that one quick point, I mean, you basically said it's always been competitive. If you had a greater consolidation, do you think it would be even more, you know, with maybe another player that's new to North America, do you think they would end up being actually a more or less competitive environment?
Todd Schneider: Yes, it's hard to imagine it being even more competitive. It's really competitive today. But if any international competitor were to enter, we don't see the competitive dynamic changing. And again, our focus would remain on delivering great value our customers on a daily basis.
Stephanie Moore: All right. I asked too many questions thanks guys.
Todd Schneider: Thank you.
Operator: And our next question comes from Scott Schneeberger from Oppenheimer. Please go ahead Scott.
Scott Schneeberger: Thanks very much. I have two, I'll ask them both up front since we're getting late here. First one, uniform direct sales, the organic declines, they persisted for I think five quarters now. And I know this is a lumpy business and the years prior was very strong. But could you guys please elaborate on trend over the balance of the year? What we might see there to the extent you have visibility? And then the second question is free cash flow really strong in the first quarter. CapEx appears on pace. So it looks like the strength was something working capital driven. Could you discuss it? Was this a timing issue or should we anticipate a particularly strong cashier and fiscal ‘25? Thanks.
Todd Schneider: Scott, thanks for the question. I'll talk a little bit about the direct sale business and Mike if you'd like to respond regarding the cash flow. Scott, you nailed it. It's a lumpy business. Rollouts of national accounts, those types of national customers are highly impactful. And you also nailed it that they had incredible growth going back a couple years. So just really more timing, lumpiness, no real change in that business. We like where we're positioned and feel like we're in a good spot for the future.
Mike Hansen: Yes, regarding cash flow, you're right, Scott. Free cash flow was really strong. For us, some of that is timing. So for example, you see some real working capital change in accrued compensation related liabilities. That's a little bit more timing. From accounts payable, we got a nice benefit from accounts payable. We've been working hard in accounts payable to extend some terms, and that's paying off with a nice benefit in the cash flow. For the year, generally speaking though, we look at it to be in the typical range. So free cash flow conversion of net income in the 90% to 100% range, which is sort of typically where we have been. That's where we expect to be for the rest of the year or for the full-year in total.
Scott Schneeberger: Thanks, guys.
Todd Schneider: Thank you.
Operator: And our next question comes from Jason Haas from Wells Fargo. Please go ahead, Jason.
Jason Haas: Hey, good morning and thanks for taking my questions. I'm curious if you could remind us what level of price increases you're putting in this year? And then I'm curious what the reception has been like from your customers?
Todd Schneider: Jason, our price adjustments are a component of our growth, certainly not where we're focused in on how we grow our business, but it is a component. And our price adjustments are way lower than they were at the peak of inflation, and they're back much closer to historical today. And how they're received, you know, those are always challenging conversations. And we try to position our people on a daily basis to provide the best service so that they can go better, but it's always challenging. And it's been challenging my entire career on price adjustments. So we try to focus our time on how to best position our people, how to train them, and how to give them the best products and services so that they can provide the most value.
Jason Haas: Got it. That makes sense. Thank you. And it's a good segue to the next question. I was curious about the hiring market for your own business, and I'm curious if it's gotten any easier or harder to hire people?
Todd Schneider: Yes, Jason, good question. I call it similar, right? Similar meaning it's always been a challenge to find great people. And that's what we're focused on. The hiring market, it has eased, there's no doubt, from pandemic craziness. But it is certainly easier, but never easy. So That's what we're seeing in our business. We're still investing for the future. The reason we're investing is because we see the opportunities that lie ahead.
Jason Haas: Got it. That makes sense. Thank you.
Todd Schneider: Thank you.
Operator: And at this time, there are no further questions. I'll turn the call back over to Jared for closing remarks.
Jared Mattingley: Thank you, everyone, for joining us this morning. We will issue our second quarter of fiscal ‘25 financial results in December. We look forward to speaking with you again at that time.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.